Operator: Good morning, and welcome to Washington Trust Bancorp Inc.’s Conference Call. My name is Lydia and I'll be your operator today. [Operator Instructions]. As a reminder, today's call is being recorded. Now I'll turn the call over to Sharon Walsh, Vice President, Director of Marketing Strategy and Planning. Ms. Walsh, please go ahead.
Sharon Walsh : Thank you, Lydia. Good morning and welcome to Washington Trust Bancorp Inc.'s conference call for the third quarter of 2024. Joining us this morning are members of the Washington Trust Executive Team, Ned Handy, Chairman and Chief Executive Officer; Mary Noons, President and Chief Operating Officer; Ron Ohsberg, Senior Executive Vice President, Chief Financial Officer and Treasurer; and Bill Wray, Senior Executive Vice President and Chief Risk Officer. Please note that today's presentation may contain forward-looking statements and our actual results could differ materially from what is discussed on today's call. Our complete Safe Harbor Statement is contained in our earnings release, which was issued yesterday, as well as other documents that are filed with the SEC. All of these materials and other public filings are available on our Investor Relations website at ir.washtrust.com. Washington Trust trades on NASDAQ under the symbol WASH. I'm now pleased to introduce today's host, Washington Trust Chairman and Chief Executive Officer, Ned Handy. Ned?
Ned Handy : Thank you, Sharon. Good morning and thank you for joining our third quarter call. We respect and appreciate your time very much and your interest in Washington Trust. I'll briefly comment on the quarter and then Ron will provide more detail on the financial results. After our prepared remarks, Mary and Bill will join us for the Q&A session. I'm pleased to report that our efforts to build balance sheet strength and to rebuild our earnings capacity while managing credit closely and proactively continues to pay off. Although margin is not yet where we want it, it has stabilized. Our fee businesses are performing well. The current Fed action on rates and the implied improved economic outlook are helping to build our mortgage pipeline and support continued market appreciation in wealth management AUA. We continue to be prudent on the expense front and still our strong customer focus teams and modest technology investments have delivered encouraging activity and growth in the quarter. Our customer franchise remains strong and we believe will remain as such as our team prudently manages through the current Fed pivot. In addition to in-market deposit growth in the quarter, Ron will report improved capital ratios, continued strong credit statistics and controlled expenses. In September, we opened a full service branch in the Olneyville neighborhood of Providence and already see it as a catalyst for community strength and potential for a great new customer base. Although we don't currently have additional branch expansion plans, our team continues our dedicated focus on caring for the customers and communities we serve. I'll now turn the call over to Ron for some more detail on the quarter and then we'll be glad to address any questions you have. Ron?
Ron Ohsberg : Okay, thanks, Ned, and good morning, everyone. Net income for the third quarter was $11 million and $0.64 per share. Net interest income was $32.3 million, up by $677,000 or 2% from the preceding quarter. The margin was 1.85%, up by 2 basis points. There were no pre-payment penalties – pre-payment fee income in the third quarter compared to $46,000 in Q2. Non-interest income comprised 34% of revenue and amounted to $16.3 million, down by $388,000 or 2%. Included in the second quarter was a $988,000 gain on the sale of our operations center. Excluding this, non-interest income was up by $600,000 or 4%. Wealth management revenues were $10 million, up by $311,000 or 3%. AUA totaled $7.1 billion, up by $249 million or 4%. Mortgage banking revenues totaled $2.9 million, up by $105,000 or 4%. And our mortgage pipeline at September 30 was $107 million, up 2% from the end of June. Non-interest expenses were up $594,000 or 2% from Q2, including an increase in advertising and promotion expense of about $196,000 due to timing. The third quarter effective tax rate was 20.6%, and for 2024, we expect it to be 21%. Turning to the balance sheet. Total loans were down by $114 million or 2%. Commercial loans decreased by $82 million or 3%, while residential decreased by $29 million or 1%. In-market deposits, which exclude wholesale broker time deposits, were up by $155 million or 3%. Wholesale broker deposits were up $41 million and FHLB borrowings were down by $250 million. Our loan-to-deposit ratio decreased from 113% to 106%. Total equity amounted to $502 million, up by $31 million from the end of the second quarter. Our asset and credit quality metrics remain solid. Non-accruing loans were 55 basis points and past due loans were 37 basis points on total loans. The increase in past due loans was largely due to one commercial real estate loan that has been on non-accrual status since the fourth quarter and has now passed maturity. We do expect that credit to be resolved in the fourth quarter. The allowance total $42.6 million or 77 basis points of total loans and provided NPL coverage of 137%, and we had net charge offs of $48,000 in the third quarter and $127,000 on a year-to-date basis. And at this time, I'll turn the call back to Ned.
Ned Handy : Thanks, Ron. And now we'll open it up to questions, Lydia.
Operator: Thank you. [Operator Instructions]. Our first question today comes from Mark Fitzgibbon with Piper Sandler. Please go ahead. Your line is open.
Mark Fitzgibbon: Hey, guys. Good morning. Ron, I think I missed your comment on the commercial pipeline. I think you said $107 million mortgage pipeline? Did you mention the size of the commercial pipeline?
Ron Ohsberg : I didn't. And it's $90 million and that's up from $45 million in the second quarter.
Mark Fitzgibbon: What rough average rate would you guess is on that pipeline?
Ron Ohsberg : Most of what we're doing is, I would say FHLB plus 150 – excuse me, 250.
Mark Fitzgibbon: Okay, great. And then secondly, I noticed cash balances were up about $200 million. Will that normalize in the fourth quarter, or you just feel like running the higher cash balances right now makes sense?
Ron Ohsberg : It will. Yeah, no, that's just timing. We did replenish. We replenished brokered CDs in the third quarter, you know and we also had some loan payoffs, and we used that cash to pay down FHLB. We've already run some, and we paid down maturing brokered CDs as well. So no, we would plan to run that down to about $100 million.
Mark Fitzgibbon: Okay. And then I wonder if you could help us think about sort of how quickly you're able to take deposit costs down, and what you think the trajectory of the margin is likely to look like in the next quarter or two.
Ron Ohsberg : Yeah. So as I mentioned on the June call, rate reductions will likely reduce net interest income a bit in the fourth quarter. I would say maybe in the $500,000 to $1 million range as deposit betas are going to lag the loan betas. But I can tell you that on the way down, those deposit betas will be a lot higher than they were on the way up. We have been aggressively looking at our money market deposits and keeping an eye on the competition and being mindful of customer retention. I think we're doing a good job of repricing those money markets down, but there is still a little bit of a lag compared to where we are on the loan. So that will probably impact us a bit, but we view that as timing. Our balance sheet is liability sensitive, and the rate reductions will definitely help us.
Mark Fitzgibbon: So do you expect the margin to be down a little bit in the fourth quarter? Is that where you're at?
Ron Ohsberg : I'm sorry, yeah, I didn't answer that part. So we expect the margin to be about flat.
Mark Fitzgibbon: And then start to rise in the sort of first quarter, you think?
Ron Ohsberg : Yeah, I think going into 2025, assuming the Fed continues to cut, we expect the margin to expand. Now, keep in mind that every time it cuts, we have to kind of start the whole repricing thing all over again. So we just have to work through that, but on a net basis, yes, the margin will expand as rates come down.
Mark Fitzgibbon: Okay. And then I – from your comments, you seem to suggest that $10.5 million loan that is 30 days delinquent will resolve in the fourth quarter. What gives you such confidence in that?
Ron Ohsberg : We've been negotiating that for quite some time and feel like we're very close to a resolution.
Mark Fitzgibbon: Okay. And then lastly, could you talk a little bit about the $42 million of office loans that are classified, maybe what the maturity schedule on those look like?
Ron Ohsberg : Yeah. Bill, do you want to take that one?
Bill Wray : Sure, we have a couple. One has matured, that's the one that's resolution is imminent. Another will be maturing this quarter, and then one more in ‘26. So, fairly near term. Our approach to maturity on all offices is that essentially it's a life sentence and we have to be working with our borrowers to credit enhance as we hit maturity. So we're not expecting there's any kind of magic market that's going to take us out with of the re-fi or sale. That said, we are getting a resolution or we have an agreement to get a resolution on about $10 million of the classified this quarter. And the others are all current and we're working with guarantors and borrowers to kind of structure, enhance and keep them moving. So, we've done a maturity wall assessment. We had it done by an outside third-party firm to stress test everything we have rolling within the next couple of years and no surprises and fairly strong results from their standpoint. So we feel like we're on top of that.
Mark Fitzgibbon: Great. Thank you.
Ned Handy : Thanks, Mark.
Operator: Our next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte : Hey, good morning, guys. Hope everybody's doing well. So first question, I just want to talk a little bit about the loan growth…
Ned Handy : Good morning, Damon.
Damon DelMonte : …good morning. Talk a little bit about loan growth during the quarter with balances being down. I believe it was driven by CRE. Is this a function of you guys kind of pulling back and just letting maturities kind of naturally occur during the quarter or were there some surprises late in the quarter that led to the decline?
Ned Handy : Yeah. So I would say it's a couple of things. I think coming into this year, I think we told you we were going to pull back a bit on our origination activity. So that's kind of being reflected in the numbers you see, its normal pay-downs. And we also managed out a few credits intentionally. But we think that that's behind us now and we're expecting to start to ramp up underwriting in the fourth quarter.
Damon DelMonte : Should we… [Multiple Speakers]
Ned Handy: Yeah, I would say that the $90 million commercial pipeline is the result of a renewal of kind of growth and our teams being out there with the door open for new opportunities, and it will grow beyond that. But we expect kind of 1% or 2% low single-digit growth in the fourth quarter and we'll carry that on into 2025. So that the teams are back out and we feel good about that. But I think we'll have, I would say, sort of muted growth for the next quarter or two and then back to normal.
Damon DelMonte : Got it. And Ron, your comments on the NII outlook, does that reflect the expectation of the growth that you guys just described?
Ron Ohsberg : Yeah. I mean, the fourth quarter growth won't help us a lot in the fourth quarter just because of the timing of the disbursements on that. So that's more of a jumping off into 2025. But yeah, I mean yes, it's going to be accretive to net interest income going forward.
Damon DelMonte : Got it. Okay. And then I think your interest bearing deposit costs for the quarter were 3.28%. Do you happen to have the spot rate at 9.30?
Ron Ohsberg : Unfortunately, I don't have that at my disposal.
Damon DelMonte : Okay. And then just one last final one on expenses. I know you guys are focused on containing any material growth here. Just kind of looking for an update here in the fourth quarter and that's kind of how we think about 2025. Do you think you are able to kind of keep it in this 34.5-ish range going forward or do you expect it to kind of trend higher?
Ron Ohsberg : Yeah, I mean I think expenses will be higher next year. We are not ready to guide on that yet, but I would expect the fourth quarter to be in line with the third quarter.
Damon DelMonte : Great. Okay, that's all that I had. Thank you very much.
Ned Handy : Yep. Thanks, Damon.
Operator: Our next question comes from Laurie Hunsicker with Seaport Research Partners. Please go ahead.
Laurie Hunsicker : Yeah. Hi. Thanks. Good morning. Just touching on margin.
Ron Ohsberg : Good morning, Laurie.
Laurie Hunsicker : Do you have the – good morning, Ron. Do you have the spot margins for September?
Ron Ohsberg :
%:
Laurie Hunsicker : Okay, great. Thanks. And then just going back to office, I guess, Ron and Bill, maybe you can help us think about a couple of things. Can you refresh us on – I know you had two Class B properties, I guess, that make up that $21.7 million. Can you just refresh us in terms of vacancy, where you are with that? And then also your Class A lab space, which I think is sitting in that $20.5 million. And I had in my notes that was $18 million, but maybe you can just refresh us in terms of where we are with that. And was that partly being resolved in the fourth quarter, what exactly was the fourth quarter resolution, the $10.5 million? What exactly is that credit? Yeah. So, if you could just maybe step us through, because I know there are three or four big loans, just if you could refresh us on that, and then vacancies and also maybe any specific reserves on those. Thanks.
Bill Wray : Classified, there's three properties in it. One of them is the one in Boston that is set for resolution. Set meaning, it's literally going under agreement today and expected to close this quarter, but until it closes, it's not done. But we feel pretty solid about that. That's something that's been going on for a while. The other remainder of Class B classified are two properties in Connecticut, one of which is 70% occupied, one of which is 50%, both of which are current, both of which have a guarantor who's continued to keep the properties going. They are pursuing exit strategies by listing them for sale, but that's where those stand. So we're pretty confident that the Boston property will be done this quarter, but until it closes, we can't say so. On the lab space, that's $20.5 million. That has gone from 0% leased in the last six months to 52% leased, which is a lot. That represents over 100,000 square feet of leasing. So the property's got a lot of momentum. The borrower put in a very significant equity injection of $20 million to work on specs-based build-outs. So we believe that's got a lot of traction as evidenced by the leases and by the amount of leasing interest that's out there. All that said, again, until it's 100% leased or at least its own stabilized number, we're not going to be making any moves with it at the moment, in terms of classification or accounting.
Laurie Hunsicker : Got it. And then, Bill, on that loan of $20.5 million, what is the total exposure with all the banks added together? I know its north of $100 million, but I don't know if you have a current number on that.
Bill Wray: I'd have to get a calculator and divide it. I think its $174 million.
Ned Handy: Yeah.
Bill Wray: Yeah, it's $174 million.
Laurie Hunsicker : Okay, great. And then, do you have any specific reserves on either of those Class B’s or this lab?
Bill Wray: Not on the lab, not merited. On the Class B’s, we do on – yes, we do. But they are appropriately set by accounting and other rules. So I don't have an aggregate number for those that I'd like to disclose. But we act ahead of time in case there's any loss. We'll certainly move something into individually impaired and set up individual impairment if we need to. And on those three, there's one for about 5% of the total. [Multiple Speakers] There's actually already been a charge off on one of the other properties that's reflected in the balance.
Laurie Hunsicker : Okay. And then, I guess as we're looking at your $3 million office book or 240 excluding medical, what is your reserves on that at the moment? [Multiple Speakers]
Bill Wray: Our office reserve factor is 127 basis points, but that's part of our total commercial real estate segment. And then, we obviously create individual impairment when needed.
Laurie Hunsicker : Got it. Got it. Okay, and then just last question in terms of the office coming due. So you have been up and down here, 40% coming due in the next two years. Can you help us think about how that's breaking out in terms of what's coming due in the fourth quarter and what's coming due next year? Thanks.
Bill Wray: Its $20 million this quarter, including one that's already matured and that's the one set for resolution, and then there's $53 million for next year.
Laurie Hunsicker : $53 million for next year, and then $20 million in the fourth quarter. That includes the $10.5 million, got it.
Bill Wray: Yes.
Laurie Hunsicker : Okay, great. Thanks so much for taking my questions.
Ned Handy: Sure. Thanks Laurie.
Operator: [Operator Instructions] We have no further questions, so I'll pass you back to Ned Handy for any closing comments.
Ned Handy : Thanks Lydia, and thank you all for joining us today. We appreciate your time, your interest in Washington Trust and your questions. We hope we've presented a clear picture of where we are and where we're headed. So thank you very much. Have a great day, and we look forward to speaking to you all soon.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line. Thank you very much.